Executives: Laura A. Murphy - Vice President of Corporate Finance Frank J. M. Ten Brink - Chief Financial Officer, Chief Administrative Officer, Chief Accounting officer and Executive Vice President of Finance Richard T. Kogler - Chief Operating Officer and Executive Vice President Charles A. Alutto - Chief Executive Officer, President and Director
Analysts: Ryan Daniels - William Blair & Company L.L.C., Research Division Scott A. Schneeberger - Oppenheimer & Co. Inc., Research Division Albert Leo Kaschalk - Wedbush Securities Inc., Research Division Michael E. Hoffman - Wunderlich Securities Inc., Research Division Erin E. Wilson - BofA Merrill Lynch, Research Division Shlomo H. Rosenbaum - Stifel, Nicolaus & Co., Inc., Research Division Gary E. Bisbee - Barclays Capital, Research Division Isaac Ro - Goldman Sachs Group Inc., Research Division Kevin M. Steinke - Barrington Research Associates, Inc., Research Division Richard C. Close - Avondale Partners, LLC, Research Division Stewart Scharf - S&P Equity Research Sean Dodge - Jefferies & Company, Inc., Research Division David J. Manthey - Robert W. Baird & Co. Incorporated, Research Division James Francescone - Morgan Stanley, Research Division Barbara Noverini - Morningstar Inc., Research Division
Operator: Good afternoon. My name is Jay, and I will be your conference operator today. At this time, I would like to welcome everyone to the Stericycle First Quarter Earnings Conference Call. [Operator Instructions] Thank you. Ms. Laura Murphy, Vice President of Finance, please go ahead.
Laura A. Murphy: Welcome to Stericycle's Quarterly Conference Call. Joining me on today's call will be Frank Ten Brink, CFO; Rich Kogler, COO; and Charlie Alutto, CEO. I will now read the Safe Harbor statement. Statements made by Stericycle in this conference call that are not strictly historical are forward-looking. Forward-looking statements involve known and unknown risks, and should be viewed with caution. Factors described in this company's Form 10-K, 10-Qs, as well as its other filings with the SEC, could affect the company's actual results and could cause the company's actual results to differ materially from expected results. The company makes no commitment to disclose any revisions to forward-looking statements or any facts, events or circumstances after this date that may bear upon forward-looking statements. I will now turn it over to Frank.
Frank J. M. Ten Brink: Thank you, Laura. The results for the first quarter are as follows. Revenues were $513.8 million, up 11.7% from $460.1 million in Q1 of '12. And internal growth, excluding returns and recall revenues, was up 8.1%. Domestic revenues were $363.6 million, of which $341.1 million was domestic regulated waste and compliance services, and $22.5 million was recalls and returns. Domestic internal growth, excluding recalls and returns revenues, was up over 9%, consisting SQ of 10% and LQ of 8%. International revenues were $150.2 million. And internal growth adjusted for unfavorable exchange impact of $4.2 million was up 5.4%. Acquisitions contributed $37.1 million to the growth in the quarter. Gross profit was $232.1 million or 45.2% of revenues. SG&A expense, including amortization, was $97.7 million or 19% of revenues. Net interest expense was $13.4 million, and net income attributable to Stericycle was $74.6 million or $0.85 per share on an as reported basis, and $0.88 adjusted for acquisition and other nonrecurring expenses. Now the balance sheet. Our covenant debt-to-EBITDA ratio was 2.1 at the end of the quarter. The unused portion of the revolver debt at the end of the quarter was approximately $675 million. In the quarter, we repurchased 79,602 shares of common stock in the open market in an amount of $7.6 million, and we have authorization to purchase an additional $3.7 million. Our capital spend was $16.5 million and our DSO was 61 days. Q1 year-to-date, cash provided from operations was $98.2 million. And I will now turn it over to Rich.
Richard T. Kogler: Thanks, Frank. Worldwide, we continue to use our strong free cash flow to drive our growth through acquisitions. In the quarter, we closed 12 transactions, 11 international and 1 domestic. The international acquisitions consisted of 1 in Spain, 2 in Japan, 4 in the U.K., 1 in Canada, 1 in Romania, 1 in Portugal and 1 in Chile. Our worldwide acquisition pool remains robust, with well over $100 million in annualized revenues in multiple geographies and lines of business. At the end of the quarter, we had approximately 544,000 accounts, of which approximately 527,000 were small, the remainder were large. The strong internal growth rates we experienced in this quarter resulted from more customers adopting our multiple services, which includes StrongPak, Steri-Safe, pharma waste and Sharps Management. Increased regulatory scrutiny and fines for noncompliance have driven customer demand for these regulated waste and compliance services. For example, U.S. EPAs, state EPAs and joint commission are more focused on pharma waste than the health care sector. This scrutiny creates customer demand for our pharma waste program. We're excited about our future growth because when customers adopt multiple services, this can more than double or triple customer revenues. In closing, we want to thank each member of our worldwide team for their strong performance and continued commitment to our customers and shareholders. Now I'll turn it over to Charlie.
Charles A. Alutto: Thanks, Rich. I would now like to provide insight on our current outlook for 2013. Please keep in mind that these are forward-looking statements. Revenues from the 12 acquisitions were approximately $2.4 million in Q1, and annualized are approximately $20 million. Keep in mind, our 2013 guidance does not include future acquisitions, divestitures, integration, acquisition-related and other nonrecurring expenses. We believe analysts' EPS estimates will be in the range of $3.66 to $3.69. We believe analysts' revenue estimates for 2013 will be in the range of $2.11 billion to $2.14 billion, depending on assumptions for growth and foreign exchange rates. We anticipate 2013 internal growth rates to be: SQ, 8% to 10%; LQ, 5% to 8%; international, 5% to 8%; and recall and returns revenues between $95 million to $110 million. We believe analysts will have estimates for free cash flow between $353 million to $357 million. CapEx is anticipated to be between $65 million to $70 million. In closing, we are very pleased with our Q1 results and excited about the multiple growth opportunities for 2013 and beyond. Thank you for your time. We'll now answer any questions. Jay, you can open up the Q&A line.
Operator: [Operator Instructions] Our first question comes from Ryan Daniels with William Blair & Company.
Ryan Daniels - William Blair & Company L.L.C., Research Division: Let me start on the M&A front. Obviously, a very strong quarter given the number of transactions, but the diversity also surprised me. Are you seeing more opportunities over in Europe and o U.S. markets given some of the financial struggles or is that just timing that a lot of these deals in different markets hit during the first quarter?
Frank J. M. Ten Brink: No. Again, we do deals opportunistically, and I would say that maybe the tax law changes in the U.S. maybe accelerated some deals into Q4 of 2012. The pipeline continues to be very robust and that's both in the U.S. and international.
Ryan Daniels - William Blair & Company L.L.C., Research Division: And then any color on, I guess, overall, the deals, what portion of that was regulated medical waste, and then within that, the SQ versus LQ mix?
Frank J. M. Ten Brink: Yes. So they were all in the regulated waste side, and it was about 60% SQ and 40% LQ.
Ryan Daniels - William Blair & Company L.L.C., Research Division: Okay. Great. And then a couple other questions on the patient communications business. I know you did a fairly sizable inpatient acquisition in that space last quarter. And I'm curious, 1, how the integration has gone? And then #2, have you begun to see any cross-selling opportunities where you're able to go to systems that own larger physician practices and can offer a bundled service across a continuum of care?
Charles A. Alutto: Yes. Just to educate everybody, Ryan, that large acquisition was Beryl Health Care in the fourth quarter of 2012. It expanded our capabilities in the patient communication space. For instance, physician referrals enhanced our scheduling ability and post discharge calls. They were the market leader on the LQ space. We're still integrating that. We're integrating the Beryl piece with that platform acquisition that we have done about 2 years ago with NotifyMD. We do think we've got a unique position in the marketplace, not only in offering services to the physicians that are affiliated or owned by hospitals, but in the hospital themselves, especially in the lines of businesses we added with the Beryl deal.
Ryan Daniels - William Blair & Company L.L.C., Research Division: Got you. That's helpful color. And then one quick one and I'll hop off. Just I saw a recent news release about a relationship with Premier and the GPO. I'm curious if that's something that's been long-standing. I think you had some exclusive relationships with them in the past, at least with their ASCEND members. So any color there would be helpful, just to provide a little clarity.
Richard T. Kogler: Yes, the Premier dealer was nothing new. It was a renewal of the opportunity. They usually have multiple vendors on that contract. I think you probably saw that in the same press release. That really is a hunting license now that we've always had so there's really no change to the business with that recent re-award with Premier.
Operator: Your next question comes from Scott Schneeberger with Oppenheimer.
Scott A. Schneeberger - Oppenheimer & Co. Inc., Research Division: Could we speak a little bit to the geographies? I believe you said 2 in Japan, and I think we've been quiet there for a while. Can you just talk to what you're seeing, the last question hit on Europe, but Japan specifically?
Frank J. M. Ten Brink: We did 3 deals in Japan in '11. We did 1 deal in Japan in '12, and so this was a continuation. Really, in '12, they did a lot of work on integrating both the transportation and the treatment sites that we acquired there, and that allowed them to now continue to do acquisitions on top of that.
Scott A. Schneeberger - Oppenheimer & Co. Inc., Research Division: Okay. The recall guidance, I think now for the year is adjusted a little bit lower than what you had been saying on the fourth call -- fourth quarter call. Could you just kind of frame that for us and confirm that's accurate? And then I have a follow-up.
Frank J. M. Ten Brink: Yes. So the guidance last time was $105 million to $120 million, now $95 million to $110 million. With the shortfall in Q1 being about $7 million to $8 million. Yes, that's exactly the difference roughly and the total that we took the guidance down by.
Scott A. Schneeberger - Oppenheimer & Co. Inc., Research Division: Okay. I know that one is tough to predict. Is there anything that you see building or I guess the guidance implies that kind of status quo from here. So moving on from that one. The last thing I wanted to touch upon is the organic growth was quite solid. Could you touch on premium offerings? How are things going on the premium area?
Charles A. Alutto: Yes. I think as Rich said, Scott, the premium offerings are StrongPak. We continue to be on track on that. The customer uptake on that continues to be strong. Rx Waste and Sharps Management continue to be drivers on the LQ side of the business. And then Steri-Safe on the SQ side of the business, with a little bit of StrongPak as well moving that forward and we continue to see good growth rates there, so it's a good start to the year.
Scott A. Schneeberger - Oppenheimer & Co. Inc., Research Division: And I'm sorry, Charles, you guys might have said it, I might have missed it. I know you mentioned last time what the contribution was of StrongPak specifically to the quarter. Have you touched upon that and would you?
Charles A. Alutto: No, we did not break that out last time.
Operator: Then next question comes from Al Kaschalk with Wedbush Securities.
Albert Leo Kaschalk - Wedbush Securities Inc., Research Division: Just actually a quick question or 1-part question. Could you talk about with this focus on regulation and pharma waste demand, how we should think about the adoption rates of that service or market opportunity? And if there is a, I don't know if a so-called size of that market, just help us with that.
Richard T. Kogler: Yes. I think as we said before, we look at it as about a $200 million-plus market opportunity in the LQ space. Adoption rates, as you can tell from our LQ growth rates overall, have been pretty strong. And they are being driven by enforcement and compliance, both at the federal and the state level.
Albert Leo Kaschalk - Wedbush Securities Inc., Research Division: Is this something your sales force can reach into clients to help them take on this service, or is this one where you have to be somewhat have them come forth to you?
Charles A. Alutto: No. They usually come to us. I mean, they're getting a lot of scrutiny right now, not only from EPA, both on the state and the federal level, but joint commission now as they go into the reviews for the accreditation, look at it. Obviously, our salespeople are talking to our customers. We've got very good relationships on our LQ accounts, so we talk to them about this service offering and then it's their decision to make whether or not they try to do something in-house themselves on the characterization or have us do a full-service Rx Waste program within the hospital. We are seeing good adoption at the IDN level as hospitals now are large entities where they're making the decision for all the hospitals, we do see some uptick in some of the larger IDNs taking the program on.
Albert Leo Kaschalk - Wedbush Securities Inc., Research Division: Okay. And then just one, within the relative range of product offerings, how does this one fit margin profile-wise?
Frank J. M. Ten Brink: I think the margins for this one are in the high 20s, low 30s, the gross margins.
Operator: Next, we have Michael Hoffman with Wunderlich Securities.
Michael E. Hoffman - Wunderlich Securities Inc., Research Division: On the organic growth, can we talk in the U.S., can you help us understand the proportioning of that total growth between your auxiliary services versus pricing coming in on the sort of the base legacy businesses?
Richard T. Kogler: Well, I think, as we've said before, on the base legacy businesses, if I'm understanding your question right, price is usually around CPI plus or minus depending on the customer type, and then the rest of it is organic growth.
Michael E. Hoffman - Wunderlich Securities Inc., Research Division: And that's -- that remaining organic growth is predominantly the auxiliary services, that's what I was really trying to understand?
Charles A. Alutto: Yes, so, Michael, on the SQ, it's StrongPak and it is Steri-Safe. Volume does have a little bit on the SQ side. And then on the LQ side, it's mostly Sharps Management, Rx Waste, and, again, a little bit of StrongPak in there. Is that helpful?
Michael E. Hoffman - Wunderlich Securities Inc., Research Division: Okay. That's helpful. Yes, that's helpful. And then, I get it, it's on a pending lawsuit but can you just talk a little bit about what this group is trying to accomplish? Do you have any sort of commentary about the lawsuit that was filed?
Richard T. Kogler: If you're referring to the class action lawsuit?
Michael E. Hoffman - Wunderlich Securities Inc., Research Division: Yes, from the veterinary group?
Richard T. Kogler: Yes, that was filed in Pennsylvanian on March 12, 2013, we've disclosed that on our 8-K. It seems to me to be, and to our attorneys to be simply a follow-on from the settlement we reached with the New York Attorney General. And also a 2008 whistleblower lawsuit that's been out there some time. Since that time, we've been served with 3 similar class action lawsuits that all have basically the same allegations; this is not unexpected. Our attorneys tell us that most of these cases end up being consolidated and tried as one; that's what we expect. As we said, we think the lawsuits are without merit, we'll defend ourselves vigorously. Beyond that, it's really inappropriate to comment because this is a pending litigation.
Michael E. Hoffman - Wunderlich Securities Inc., Research Division: Fair enough. I just wanted to understand if there's any other sort of aspects of it. And then on -- can you comment on customer churns, particularly in the domestic business, U.S. business, and even more finally on small generator side, sort of given where we are sort of in this economic cycle, how would you frame the customer churn in the small generator market?
Frank J. M. Ten Brink: Really, we don't see a major difference in churn. I mean, we have a very good revenue retention, about 95%. And the raise of 5% leaves us some customers don't pay their bills, obviously, we stop service, there's doctors, dentists and the like that, close their shops and retire, some consolidate, that's a couple of percent, and then you're normal revenue may be 1% to 2%. It's -- obviously, it's a competitive market and we lose some to competition.
Operator: Next, you have a question from Erin Wilson with Bank of America Merrill Lynch.
Erin E. Wilson - BofA Merrill Lynch, Research Division: On patient communications, I guess we keep hearing about progress there. Would you say this is moving ahead of expectations at this point and what percent of your targeted customer base is already on board? I assume it's still small, but -- and has maybe that addressable market changed at all in your view as far as who can actually benefit from this?
Frank J. M. Ten Brink: Yes, Erin, I would say it is meeting our expectations, so it's on track. Obviously, we're new into this so this is one with a great upside for us, with respect to a target. The only thing that's changed on the market opportunity side is obviously with the acquisition of Beryl, that increased our capability and, hence, increased the market size. Before Beryl, we're looking at $1 billion-plus opportunity, and now it's greater than $2 billion.
Erin E. Wilson - BofA Merrill Lynch, Research Division: Right. Okay. And then in Spain, I saw that you did another acquisition there and it seems like you're building out to some sort of critical mass. Are you beginning to roll out any sort of ancillary services there? And is the, I guess, customer base still primarily LQ? How much in the way of SQ is in that particular region?
Frank J. M. Ten Brink: Yes, we're still building the SQ business. Obviously, all the follow-on deals we did besides the 1 large deal in 2011, we've done now 10 addition deals in Spain, mostly smaller deals, so we're starting to build the SQ customer base. We are, as we said last time, we were starting to pilot the clinical service offerings for those -- to remind those again that's the Steri-Safe equivalent in the international market we're in now starting to roll out Steri-Safe in Spain, since we now have a good base of SQ customers. We still have some ways to go there, but we like the opportunity in Spain, and we're starting to launch the clinical services in that region.
Erin E. Wilson - BofA Merrill Lynch, Research Division: So where -- what regions now, as of now, do you have some sort of rollout ancillary service offering?
Frank J. M. Ten Brink: Yes. If you look at clinical services, we're in Canada, the U.K., Ireland, Spain and Portugal. And from a Sharps Management perspective, we're in Canada, Ireland, and we, at the end of last year, just finished our first Sharps Management plant in the U.K.
Operator: Next, we have Shlomo Rosenbaum with Stifel, Nicolaus.
Shlomo H. Rosenbaum - Stifel, Nicolaus & Co., Inc., Research Division: Last quarter, you guys highlighted StrongPak a little bit more. Is there any change in their trajectory of their business or is it just you guys have already alerted us to that and, therefore, you haven't focused on it as much in your prepared comments?
Charles A. Alutto: Yes. I know, that's exactly, Shlomo. We spoke about it last time. It remains on track. I think, the market opportunity, we spoke about last time, is $1 billion opportunity. I think the important thing to stress, these are multi-year agreements with many locations and they're reoccurring revenue stream. Customer interest remains very high and we're on track with our plans. So everything is moving along. Don't read anything into the comments about it. Everything is on track with respect to that offering.
Shlomo H. Rosenbaum - Stifel, Nicolaus & Co., Inc., Research Division: Okay. And then where are you guys in the platform build for the communications business? You've done a bunch of different acquisitions and I know others have big investment in the platform, where are you in terms of having kind of a unified platform that you want to be able to go out with?
Charles A. Alutto: Yes. I think we're -- on the platform, with respect to the service capabilities, we feel very comfortable where we are now. There might be a few additional capabilities we will look out in the next year or so. From a systems platform, we're making progress. We like the -- we like what we've seen so far on some of the integration that we've done, we've got some work to do in that area. We've also seen some nice gross margin lift in that business on some the low-hanging fruit as we've started to integrate some of these businesses.
Shlomo H. Rosenbaum - Stifel, Nicolaus & Co., Inc., Research Division: Okay. And then, Frank, your DSO ticked up a tad in the first quarter, does that have anything to do with more of the acquisitions in Spain?
Frank J. M. Ten Brink: The DSO was up to 61. And there's really 2 factors there. It was a weekend cutoff. We also had Easter right before that, so there was some bank holidays in some of the European and Latin American countries. That was really the main driver of -- we feel the increase.
Operator: Next, we have a question from Gary Bisbee with Barclays.
Gary E. Bisbee - Barclays Capital, Research Division: I guess, the first question, the guidance for organic growth for the SQ and LQ unit continue to be trending at the high end of those. Does that remain conservatism or is there anything we might look for that could lead to some slowing in those growth rates as we move through the year?
Charles A. Alutto: No. I think, with guidance, we're always conservative in guidance. Obviously, there's a lot of changes going on in healthcare right now, so I think it's prudent to be conservative with our growth rates. Growth rates, obviously, vary quarter-to-quarter based on the days in the quarter, influx of large contracts and holidays. But I think we are consistent to where we've been in the past, which is conservative.
Gary E. Bisbee - Barclays Capital, Research Division: And then looking at the international business, I realize it's early in the adding on of ancillaries, but can you give us any sense just what, if you look at international as a total portfolio, what would the penetration of those be, either as a percent of revenue or just directionally relative to what it is in the domestic market? I guess what I'm getting at is how early in the game are we -- and maybe the follow-on to that is just how material could that be over, say, 5 years or something like that in terms of providing some gross margin lift?
Charles A. Alutto: I think, we're very early in the stages on the international front. And then I told individuals, I've been in Stericycle for many years, international business, to me, looks like Stericycle did in the late '90s, so we've got a ways to go on the opportunity. We do think we can double or triple the revenue over a long period of time. We think we can move gross margins. Every market will be different. Healthcare is different in every region and geography that we're in. But obviously, we feel really good about the international business over the long run.
Gary E. Bisbee - Barclays Capital, Research Division: And then just one last one. In terms of the follow-on -- following up on the patient communications question, when will you be at the point in terms of the offerings and everything that you'll start to really ramp the strategy for upselling this to existing customers, and sort of how do you go about doing that?
Charles A. Alutto: Yes, as I've said before, I think from a patient communications standpoint, 2013 will be a year we continue to make investments and look at acquisitions. I think the internal growth and the go-to-market will be finalized this year and you'll see it in 2014 and beyond.
Operator: Our next question comes from Isaac Ro with Goldman Sachs.
Isaac Ro - Goldman Sachs Group Inc., Research Division: First off, on M&A, just wondering, you mentioned the 11 deals you did x U.S., are all those -- is it fair to say that all those are margin-dilutive to the core franchise in the near-term? I'm just trying to understand or see if we can quantify a little bit of how we should look at the margin impact from those deals over the next few quarters.
Frank J. M. Ten Brink: Yes, normally, acquisitions have in the past been slightly margin-dilutive, depending, obviously, on the size of what they're coming in out of the quarter. And so this quarter, too, those deals that we did, since a lot of them are international, too, slightly margin-dilutive. You also have a factor maybe that you need to think about for the rest of the year. Obviously, foreign exchange rates are different right now than they were when we gave guidance the last time. And so FX impact in the remainder of the year is probably $8 million to $9 million unfavorable from a revenue point of view. So that is one to take into account to.
Isaac Ro - Goldman Sachs Group Inc., Research Division: Great. And then maybe a second one on M&A. If you just maybe look at your funnel from here on potential pipeline deals, can you maybe give us a sense of how the U.S. versus x U.S. pipeline looks? Is it fair to say we're going to keep seeing a vast majority of your deal flow x U.S.?
Frank J. M. Ten Brink: No. Again, we do deals opportunistically. We don't have a specific number for the U.S. or international, and the pipeline is robust in both areas. So I would never read into one quarter what a trend is. It's robust on both sides.
Isaac Ro - Goldman Sachs Group Inc., Research Division: Great. And then just last one for me. On PCS, a little bit more of a big picture question with regards to the healthcare system in the U S. We've seen a pretty steady consolidation of individual physician practices into larger group practices over the last few years. And I'm just wondering if you have any examples you could share or point to where that market dynamic has driven, maybe accelerated adoption of PCS, just given that you already had, in some cases, relationships on waste management, and I was just wondering if that's been a fruitful way in which you can sort of upsell as the physician market consolidates?
Charles A. Alutto: Yes. Overall, we're thinking the consolidation is going to be a positive for Stericycle. We think there will be an opportunity to consolidate vendors to like to Stericycle. We have seen 1 large system that actually went to Stericycle for all their physician-owned after hour answering services so that was a nice win for the team. I think the other thing I have to do though, as the systems get larger and they consolidate, it could slow up a little bit on the sales cycle. So it's plus or minus, but overall we think there will be consolidation to our vendors. We think Beryl will be a great opportunity for leveraging a relationship that they have at hospitals already. But we've already seen one nice win from the team on an after hour answering service that was affiliated with a very large IDN.
Operator: The next question comes from Kevin Steinke with Barrington Research.
Kevin M. Steinke - Barrington Research Associates, Inc., Research Division: I just want to follow-up on the pharma waste opportunity. Now that you see regulatory scrutiny picking up in that area, do you see that your pharma waste offering being able to perhaps start to gain some traction on the SQ side as well? Or are you going to continue to focus on the LQ for the foreseeable future?
Richard T. Kogler: We're focusing primarily on LQ because it's a $200 million-plus opportunity. Though certainly, the potential exists to move this into SQ and we're always experimenting with different offerings and tweaking our offerings, so maybe keep an eye on this space.
Kevin M. Steinke - Barrington Research Associates, Inc., Research Division: Okay. And where are you now in terms of the SQ-LQ mix in the U.K. specifically? And then how does that compare to the rest of your international markets?
Frank J. M. Ten Brink: Yes. U.K. has right now approached the mid-30s from a revenue point of view that's SQ-related. Again, we don't disclose the fee [ph] to the countries but each country continues to focus on that. Obviously, as Charlie said, like the Sharps Management now going overseas in these countries, also will give a nice lift for the LQ side.
Kevin M. Steinke - Barrington Research Associates, Inc., Research Division: Okay. And Frank, just on the gross margin up 10 basis points sequentially, can you give us any puts and takes there, as well as energy as a percent of revenue in the quarter?
Frank J. M. Ten Brink: ; Yes. The energy as a percent was 5.6%, same as last quarter. If you kind break down the gross margin, acquisitions was at like a 5 bp, basis points, reducer; foreign exchange, offset that a little bit with 4 bps up; and then the business itself, the remainder was 12 bps up.
Kevin M. Steinke - Barrington Research Associates, Inc., Research Division: Okay. And for the full year, should we continue to expect in that range of a 40 to 60 basis points of gross margin improvement that you mentioned last quarter?
Frank J. M. Ten Brink: Yes, consistent with what we've done in the past, 40 to 60 basis points, yearend over yearend.
Operator: Next, we have Richard Close with Avondale Partners.
Richard C. Close - Avondale Partners, LLC, Research Division: With respect to the BerylHealth, if we could go into that a little bit more. It seems like they have some -- rather than just the patient communications aspects, they have some analytics and different technology platforms. And I'm wondering if you could talk a little bit in and around the margin opportunity there, in terms of what type of gross margins do they have compared to maybe some of the other add-on businesses, such as Steri-Safe and the Sharps Management and some of those other add-ons?
Charles A. Alutto: Yes. So Richard, it's not a technology platform. I've seen it out there, Beryl is a call center type of business. Now they do have data analytics where they take some of the information on some of their physician referrals and feed that back to the hospital and help them with their marketing strategy and that they're putting their marketing dollars in the right place. So they do have some data analytics that go along with their service offering but it's not a technology. When we look at the business itself from Beryl and compare it to other patient communications, the gross margins are very similar and EBIT margins are very similar, which is, right now, close to our corporate margins, but obviously, the EBIT margins are a lot lower since we've got a SG&A spend to it.
Richard C. Close - Avondale Partners, LLC, Research Division: Okay. And then with respect to the acquisitions that have been put in place that are completed in the most recent quarter, I think you said $20 million in annualized revenue contribution. That seems maybe a little bit lower amount than some of the most recent quarters, although I know that number bounces around. Can you talk a little bit about that in terms of the size of the acquisitions? Are you seeing anything different? I know you reaffirmed your $100 million in annualized pipeline, but if you'd talk a little bit about the size of the acquisitions?
Frank J. M. Ten Brink: Yes. I wouldn't read anything into that. Again, as I said, the tax law changes in the U.S., that kind of accelerated some deals into Q4. Pipeline, as we said, is robust, both U.S. and international, there's again definitely north of $100 million in that pipeline. So no, I would not read anything into this quarter. It's not uncommon for us that Q1 is a little bit slower for the last almost 2 to 3 years, we've had the scare that tax rates would go up, and as a result, people did deals in Q4.
Richard C. Close - Avondale Partners, LLC, Research Division: And final question for me. Is there any opportunity near-term? Do you see patient communications on the international front at all?
Charles A. Alutto: Right now, I mean, long-term, we think there are some opportunities, but right now, the focus is on patient communications in the U.S. business. We do think from a call center standpoint, the recall and returns business could do some things internationally. But right now, on the patient communication, that business is going to be mostly U.S. And I think the reason we're focusing on that is, as you know, with the changes in the healthcare law and the Affordable Care Act, patient satisfaction is important to the long-term reimbursement rates for hospitals, so there is a lot of focus right now around the patient experience, and part of that is how hospitals and healthcare providers communicate with their patients.
Operator: Our next question comes from Stewart Scharf with S&P Capital IQ.
Stewart Scharf - S&P Equity Research: Basically, most of my questions have been answered. Just what would you -- where would you focus on in Europe? Is there any area of concern or is it -- are you just looking opportunistically, as you said, or is there any specific area in Europe that is worse than other areas of your business?
Frank J. M. Ten Brink: No. I think there's opportunities. Definitely, in Spain, with the number of transactions we have done, there is opportunity for integration and improvement in the margins there. In the U.K., there's some -- obviously, with them now being in newer products like Sharps Management and clinical services, there is room for growth there, in the same time, there's bits obviously, all the time going, that they've done a very good job at. And Portugal, not dissimilar to Spain, good opportunities for integration still. No, we see opportunities here. We don't see specific issues that head us right now. It looks like from a pricing point of view, that we've had some contracts that were CPI kind of related, that seems to have bottomed out a little bit, too.
Charles A. Alutto: And I think, Steward, if you're asking about new geographies in Europe or -- we continue to look at new countries, not only in Europe, but Latin America and Asia for expansion as well. And when those opportunities become available to us, we'll look at them and potentially do deals in those new geographies as well.
Stewart Scharf - S&P Equity Research: Okay. And do you have the number of shares bought back again, I didn't catch that.
Frank J. M. Ten Brink: The number of shares repurchased?
Stewart Scharf - S&P Equity Research: Yes.
Frank J. M. Ten Brink: That was, hang on one second, we had 79,602.
Operator: The next question comes from Sean Dodge with Jefferies.
Sean Dodge - Jefferies & Company, Inc., Research Division: Charlie, just kind of following up on your last comment. Can you give us some sense of how you guys think about or prioritize entering new international markets versus back-dealing existing ones? And maybe what I'm kind of trying to get at here is that over the next couple of years, is there going to be more focus on building out your existing footprint or are the majority of your resources going to be placed toward identifying and entering these new geographies?
Charles A. Alutto: No, I think we always have balanced both. We look at it where are the opportunities, we kind of know which countries we want to look at to expand into. Obviously, we look at countries we're in first, that's where a lot of the M&A spend their time because we do get the synergistic value of those deals when we close them. When we're looking at a new country, though, we look at Tier 1 counties, obviously, there needs to be a base around regulated waste regulations for us to even think about that market. We look at the stability of the country and the currency. And then also look at the management team. If it's our first entry into a new market, we want to be able to grow with that management team and do all their deals. So there's a lot of factors that go in there, but certainly, we need a base regulations there, and a good health care market and those are some of the things that go into the decision-making process.
Sean Dodge - Jefferies & Company, Inc., Research Division: Okay. That's helpful. And then on the sales force in general, are there any planned changes to the size or structure of the sales force or your marketing spend for that matter, now that you're trying to ramp into less traditional services lines like patient communications and StrongPak?
Richard T. Kogler: Well, I think, we've done a pretty good job. Those who have followed us. And seeing how we kind of use the existing force sort of cross-sell and sell multiple services. We're certainly SG&A-conscious. And I think, at this point, what you have seen occasionally is our SG&A as a percent of revenue will move up a little bit if we've got a hot hand to feed. And then once we've sort of gotten the sales force used to that, we put those dollars somewhere else or move them back into the pot. So I don't think you're going to see anything dramatic with spend, and right now, I think the growth rates reflect that the sales team is doing a great job.
Operator: The next question comes from David Manthey with Robert W. Baird.
David J. Manthey - Robert W. Baird & Co. Incorporated, Research Division: A question for you on the non-GAAP presentation and the guidance. Historically, it's been Stericycle's practice not to exclude integration expenses and I see that you're adding them back this quarter. I'm just wondering if you can talk about that? And then when you gave the guidance of $365 million to $369 million for this year, were you assuming a level of integration expenses in that or not?
Frank J. M. Ten Brink: Yes, if you go back to the script of last quarter, we said that in our prior guidance, we would adjust for it. We think it's better comparability, it gives more clarity and transparency to shareholders. So also kind of it matches how we run the business and how we review people. So we, as a result of that, made that change, and said so in the last quarter, and the guidance.
David J. Manthey - Robert W. Baird & Co. Incorporated, Research Division: Right. So non-GAAP presentation for starting first quarter of this year, you're excluding not only acquisition-related expenses but integration-related expenses routinely going forward?
Charles A. Alutto: Yes. And we do it for both, obviously, this year and last year. So last year, we'll adjust up from that point, the comparable is $3.34 from an EPS point of view.
David J. Manthey - Robert W. Baird & Co. Incorporated, Research Division: Okay. And then, second, Frank, on the tax rate, still 36%?
Frank J. M. Ten Brink: Yes, that's good for guidance.
David J. Manthey - Robert W. Baird & Co. Incorporated, Research Division: Yes. And then finally, within these newer areas you're getting into, the patient communications, the Rx Waste, StrongPak, primarily, the last 2 kind of the waste-type services offering, have you seen any change in the competitive landscape at all? It would seemed like when you get these large, potentially rapidly growing regulatory change-type markets, that you'd have some rush of entrants into those markets. Can you talk about the competitive landscape and how you expect to deal with that going forward?
Richard T. Kogler: Yes. I think on the regulated waste side, Dave, obviously, we see lot of competition for both the Rx Waste and the StrongPak business, both in a local and a regional level. I think, for both offerings, though, we're in a unique position given our relationship, not only in the health care side but on the retail as well. And I think our core competencies fit well in both Rx Waste and StrongPak and that's what makes us successful in selling in this space.
Operator: The next question comes from David Lewis with Morgan Stanley.
James Francescone - Morgan Stanley, Research Division: This is actually James in for David. I think, just 1 question on international. Even as domestic SQ and LQ growth have been consistently hitting the high end of the range in those businesses, international has been a little bit of a laggard, and obviously, there are some fundamental reasons for that, business mix and things like that. But could you help us understand here, how much going forward, how much of the priority in the international business has increased the organic growth rate versus getting growth through M&A versus profitability? And how does that develop going forward?
Frank J. M. Ten Brink: I think we were very pleased to see the international ones start to come up a little bit. Again, the team is doing a good job. Obviously, the last year, 1.5 years, European escalators have slowed that growth a little bit and 1 or 2 of those geographies affected was, for some quarters, negative. So now, having bottomed out on that, it comes up a little bit. And I think we're pleased that it's starting to come up a little bit and the team is doing a good job.
Operator: Next, we have Barbara Noverini with Morningstar.
Barbara Noverini - Morningstar Inc., Research Division: I think you might have touched upon this briefly before but just for clarification's sake, how should we think about StrongPark service offerings, is this more an event-driven business like RRM or is this more of a recurring program that you're offering customers where you're billing them on a regular basis?
Charles A. Alutto: Yes. This is not like RMS. This is not project-driven. This is a recurring revenue stream, they are multiyear agreements with many locations with recurring revenue, so very similar, identical to our core regulated waste offerings.
Barbara Noverini - Morningstar Inc., Research Division: Okay. And are there different tiers of services within these programs?
Charles A. Alutto: Not like Steri-Safe, if that's the question, because they're like a standard select and preferred. Obviously, every client has different needs. So the pickup schedules and the level of service we might give one customer might differ, but there aren't different levels of service like a Steri-Safe offering.
Operator: And your final question comes from Gary Bisbee with Barclays.
Gary E. Bisbee - Barclays Capital, Research Division: Just one quick numbers follow-up. Can you break down the $34.2 million, I think that was the year-to-year growth in organic revenue, across international versus U.S and within U.S., SQ and LQ?
Frank J. M. Ten Brink: We do that in the Q, so you'd have to wait for that one at that time.
Operator: And there are no further questions.
Charles A. Alutto: Thanks, Jay. In closing, I just want to remind everyone that today is Administrative Professional Day. Make sure you acknowledge those administrative professionals that contribute to the success of your organization. On behalf of the Stericycle executive team, we want to thank Kelly, Rhonda and Sandy for all their hard work this past year. Have a great evening and we look forward to speaking to everyone again on our next call. Thank you.
Operator: This concludes today's conference call. You may now disconnect.